Operator: Good morning, ladies and gentlemen. At this time, we would like to welcome everyone to CSN Conference Call to present Results for the Third Quarter 2024. Today, we have with us the company's executive officers. We would like to inform you that this event is being recorded and all participants will be in listen-only mode during the company presentation. In perusing this, there will be a question and answer section when further instructions will be provided. Today's event can be accessed at the CSN investor relations website at ricsn.com.br. The replay of the event will be available soon after closing. Before proceeding, please bear in mind that some of the statements herein are mere expectations or trends and are based on the current assumptions and opinions of the company management and that future results, performance and events may differ materially from those expressed herein which do not constitute projection. In fact, actual results, performance or events might differ materially from those expressed or implied by the forward-looking statements as a result of several factors overall and economic conditions in Brazil and other countries, interest rate and exchange rate levels, future rescheduling or prepayment of debt denominated in foreign currencies, protectionist measures in the U.S., Brazil and other countries, dangers in laws and regulations and general competitive factors at a global, regional or national level. I'll now turn the conference over to Mr. Marco Rabello, CFO and Investor Relations Executive Officer, who will present the operating and financial highlights of CSN during the period. You may proceed.
Marco Rabello: Well, good morning, everybody. It is a pleasure to be here to present the CSN earnings call for the third quarter '24. I begin on Slide 2 where we have the main highlights. We had a growth in production and sales in all of these segments. Besides a significant trend towards cost reduction, this highlights our operational excellence and shows that we're doing everything within our control to have a stronger performance. Every quarter, we expand our industrial capacity with positive impacts on the part of costs. Now, the only pressure during the period refers to international prices outside of our control. Despite this, we do everything to control the impact. If operationally, we are on the right path, financially, we have several initiatives carried out during the quarter to strengthen our cash, credit for exports, new prepayment contracts and the payment of receivables. We reached R$3.7 billion additionally in our cash, bringing more comfort to our operation. Now, all of this was offset with a weaker international prices and the drop of EBITDA recorded in the quarter with a slight reduction in the group's leverage. Now, let's go on to the highlights per segment. I begin with mining. They had the most robust performance with a record of their own production and the highest production record. The production cost was around $19, $9 below the last quarter and has reinforced the company cash. On the part of steel, we had a very strong sales dynamic in the domestic market. Commercial activity grew 9% in the quarter. We had a drop of 5% in the slab costs produced. This led to an increase of 20% of EBITDA in the period. In cement, we have had new sales records, one after the other, and the third quarter was not different. The sales volume reached 3600 tons. The EBITDA was 37% above last year with a profitability of 28% above the average for the sector. And finally in logistics, we continue to deliver sound results with seasonality positive impacting the EBITDA of the quarter by 4% in energy. We had a quarter of recovery, normalizing the operation in Rio Grande do Sul and the company benefiting from this stronger price movement we observe in the market. And let's go on to the next slide where I will refer to relevant subsequent events we had in these last few weeks with a positive impact on the fourth quarter. Let's begin with the most important. We concluded the CMIN stake sale, bringing in more than R$4.4 billion to our balance and showing the commitment of the company regarding its leverage. It's important to mention that this occurred with a strategic partner of the company that has been with us in the development of CMIN during some time. Besides having confidence in the company, they also paid a significant price. At the beginning of the quarter, we received very important news. The Brazilian government is working on provisional anti-dumping duty for exports from China to Brazil for tin plated and chromium plated feeds for the range of NCMs. This will enable us to recover our position even in other products. We also announced that we're in the midst of the issuance of new debentures representing R$500 million, strengthening cash for the fourth quarter. Finally, we're still evolving in terms of our strategic projects that will be important for the investments and growth of CSN in coming years. Let's go on to Slide Number 4, where we analyze adjusted EBITDA and the adjusted margin for EBITDA. We had R$2.3 billion EBITDA in the third quarter, '24 with a 20% margin. We had a weaker dynamic in the iron ore price in international markets, pressing the consolidated results. In the graph to the right, you see the performance of CMIN, the only detractor in the period despite the commercial activity we recorded. On the following slide, we present to you the investments for the period with a CapEx in line with what was presented the previous quarter. Now investment in the steel mill are proceeding at full steam to increase efficiency as a whole. We had a significant stride in mining with the beginning of the works in P15 that has 3,000 employees devoted to the development of that project. Let's go on to the working capital slide where we observe that the advance during the period impacted the cash production. And we had a reduction of inventories because of the good industrial performance of units during the period. Speaking about cash flow on Slide Number 7, we see the main impacts that resulted in R$986 million of free cash flow. Besides a lower operational result, the cash flow was negatively impacted by the higher levels of CapEx increase in financial expenses and a disbursement in income tax greater than what was observed in the second quarter '24. If we look at net debt and leverage in the next slide, we can see there was a significant reduction in net debt. It went from R$37 billion in the second quarter to R$34 billion this quarter allowing for a reduction in the leverage. Now this is thanks to the intense work carried out in the period to reinforce some initiatives in the company cash. Now management of cash combined with the sales of CMIN show our commitment to reduce leverage in its projects to recycle capital and in its operational results. We go on to Slide Number 9 where we observe the profile of indebtedness and the amortization schedule. This cash reinforcement with almost BRL20 billion allows the company to be in a comfortable position to comply with the short and midterm obligations. And we have a lengthening in the amortization schedule with a focus on long-term projects. The main movement for the third quarter '24 were funding for the year 2027, 2029. We also see the breakdown of our debt where you can observe that 64% are pegged to the dollar exposed to exchange variations, something we have seen recurrently in the last months. We'll now go on to the analysis per segment on Slide 11, the performance of the steel plant where we see that the sales volume once again was above the quarter of 1,100,000 tons with strong dynamism in the domestic market. In comparison with other quarters, we had a growth of 4% in total sales vis-à-vis the second quarter 25% and 15% in the same period last year. Only the domestic market is responsible for a growth of 9% and an annual growth of 16%. This demonstrates the effectiveness of our commercial strategy with the use of a higher steel consumption and an assertive movement we have in our operations. In the next slide, we present net revenue and EBITDA for the segment. Once again, we see an improvement in our results. The strong sales volume along with price readjustment supplied ended up with a growth of 20% of EBITDA in the period with an EBITDA margin of 5.8% to 6.4% a growth of three percentage points when compared with the same quarter last year. Although the margin is still compressed, we observe better profitability in the segment and we will continue advancing as we see better outlooks for volumes and prices. When we look at Slide 13, referring to production, we see strong growth in the number of slabs produced and operational resumption after the stops that we had in the last quarters. We had a growth of 13% in production allowing us a reduction in cost -- fixed costs, and we had a drop of 5% in the production cost. Additionally, when we observed the performance per ton, we see a constant growth of 15% in the quarter and almost doubled during the same period vis-à-vis the year 2023. Let's go on to mining on Slide 15. This was a very special quarter. We were able to take advantage of the dryer period in the Southwest to record records in our own production and in sales, we reached 11.5 million tons in the quarter, creating a new level of delivery and reinforcing the efficiency we have reached in production. We would also like to highlight when we speak about the drop of production compared to last year, this is due to a lower volume of purchases from third parties because our own production has reached its maximum levels. In the next slide, we've seen net revenue and EBITDA. There's a drop of 11% in net revenue due to the fall in the price of ore, which offset the entire increase in volume. This is also the reason for a lower EBITDA for the quarter. The price drop offset an important reduction in cost with C1 in the company reaching $19.2 per ton for the quarter. And finally, we go to Slide 17 for adjusted EBITDA. Here we have a breakdown of the components that read to this drop in results. And this was for the performance of the segment. All other variables contributed to a stronger performance. Let's go on to analyze the segment on Slide 19. This is another segment representing historical records with new levels attained regarding production sales, invoicing an EBITDA. CSN continues to capture synergies in the operation as a whole, expanding our commercial activity in a difficult environment when it comes to price dynamics. Despite this, we had an increase of 3% in revenues, maintaining EBITDA margin at 28%, well above what the sector has delivered. This is one of the competitive differentials of our business. On Slide 21, we show you the sound growth in the logistics segment that has been becoming more representative in our consolidated results. In this quarter, the dryer period led to a higher volume of movements in EBITDA and billing with a growth of 6% and 4% respectively. With this, we end the presentation of the segments and I invite Helena Guerra to speak about the ESG highlights.
Helena Guerra: Good morning, everybody. Now, regarding the highlights for the period, in the last quarter, we were trying to maximize the opportunities that we have linked to the company. We signed a contract with Petrobras to supply natural gas to Volta Redonda. We are back to the free gas market. This makes us the largest industrial consumer in Brazil and brings about the possibility of partnerships that could make feasible several projects using natural gas adhering to our decarbonization agenda. Still speaking about this topic, we're trying to comply with the goals in each of the segments where we act. The great highlight is the steel segment where we had 10% reduction in CO2 emissions. Now, the emissions will have to be achieved by 2030. This is thanks to several investments geared towards the operational efficiency and we're using disruptive technologies in a pioneer way at Presidente Vargas plant that will support us on our path towards complying with the goals. In mining, we also had a positive reduction in emissions, a reduction in the intensity of CO2 and the production of iron ore. We are that company with the lowest emission of CO2 per ton of cement worldwide. And in Brazil, we have advances in the safety of our workers. We had a year without any fatalities. Thanks to a program implemented this year. We have reduced the severity of accidents and the day of absence of employees, 70% reduction in September, along with our schedule for dam management. We had the renewal of our declarations of stability at all of the company dams. And finally, something that is growing constantly in the search of our diversity goal, we are beyond having 7,000 women working in the company, 25% of our total workforce and an increase of women in leadership position. Thank you very much for your attention.
Marco Rabello: Thank you, Helena. And we will now go on to the remarks by the Chairman. We reinforce our invitation for CSM Day that will be held on December 11th, where we will be able to update you on the main strategic projects for the group. I give the floor to Benjamin Steinbruch, the Chairman of the Group.
Benjamin Steinbruch: Good morning, everybody, and thank you for your attendance at the CSM call. I'm going to go through a very quick review based on what was said by Marco Rabello. Let's begin with a mining where everything was positive in terms of the increase of production, a reduction of cost, increase of sales. Well, within what we can control cost and sales, we offered our very best. We saw a drop of prices in international commodities, and there's very little we can do to that respect. With the cost reduction, we are prepared for these fluctuations we observed in the price of iron ore commodities. We believe that it will remain at a level of 100 to 120 fluctuating in that range. And we're awaiting new measures that will come from China. We received good news with the increase of the purchase of homes, something that had not been happening. And because of the interest rate, I think they will come out with something stronger that should favor the use of iron ore and steel. It's difficult that they'll maintain their prices below 100 because of the stop of production of some of their mines. And while we don't know what the countries will be doing because of the election of Trump in terms of geopolitics, each country will have to defend themselves more. And I believe that China will have to respond to this as well, respond to the new model we will be living with beginning in January of 2025. We're optimistic with the investments, we're optimistic with P15, with our product in mining. Well, the issue is price. Whatever you produce can be sold. And if you have the appropriate product for the market, we can sell it more easily. And this is our future. So mining had very good results and we hope to maintain and enhance the performance of the coming quarter regarding cement. The same holds true. The production of cement was a production record. We have been able to work at full speed, at full production capacity practically. We're also working on added value products. We're focusing on new products, diversifying and attempting to grow in terms of added value product. We know that cement has the right future in Brazil and we will continue to need popular homes. That sector is doing very well, surprisingly well. We did not expect that sales would be so good in the popular segment, even among Class A and we're awaiting infrastructure work that certainly will come about. The country requires a better infrastructure and of course, cement will be used in this case. So in cement, we have to produce to our utmost at the best price and work with diversification. It is a product that is missing. If we were able to produce more, we could sell more. So it's now an issue of production capacity. We're quite optimistic with the cement market going forward. Logistics went through a good period. The seasonality is positive and this is a segment with a future promise with a good logistics infrastructure. This will be part of our investment priorities in Brazil and we believe that it is a very promising sector in terms of energy. There has been a significant change in prices. We have already overcome the difficulties of the flooding in Rio Grande do Sul with the updated prices. We're going through an excellent moment for the energy segment. Finally, in terms of the steel segment, it has pointed towards an improvement or reduction of cost and an increase of production. This is a sector that we have great knowledge about. We suffered significantly during 2023 and 2024. As we mentioned in our previous conversations, we suffered because of maintenance. We had a significant number of problems that began in 2022, remained during 2023, 2024, as we had mentioned previously. And well, even if we want to do things, the timing to replace parts and equipment tends to be quite lengthy. And we sometimes have a delay of 12 to 18 months in the delivery of the necessary equipment and parts. However, we're committed with this, we're working intensely and we're on the right path. And I believe that at the end of the year, because of a better third quarter and better fourth quarter, we will begin 2025 in a better position than 2022, 2023 and 2024. Well, we're doing our very utmost. And if you look at everything we began to do in 2022, doubtlessly, the positive results will begin to appear. Everything is under the control of technology and it's simply a matter of time until we can implement what we already know and what we have brought down. Basically, these are my comments. We are on a positive path. We're doing whatever we can. We try to live with the market fluctuations, fluctuations of currency, of the market and price itself. But this holds true for everybody. So we're doing the best we can where we do have control so that we can better take up the market opportunities. We're quite confident with the year 2024. We will improve because of the enhancements we made. Thank you very much for your attendance. And I'm at your disposal. I return the floor to Marco.
Marco Rabello: Thank you, Benjamin. Let's go on to the question and answer section.
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions]. The first question is from Barbara Soares from Itau BBA. Your microphone has been unmuted.
Barbara Soares: Good morning, everybody. Thank you for taking my questions. I have two doubts regarding the steel mill, first about costs. This quarter, we have seen a margin recovery. In the last quarter you mentioned that these margins could reach two digits. There is an improvement in the slab production costs. Could you give us more color in terms of what happened this quarter and what we can expect for the next quarter in terms of cost? The second question refers to price. In the domestic market, the price has been flat. By speaking to market customers, there is a problem. The entry of imported material is still very high. It stands at 24%. In flat steel, it is higher, 30%. Could you help us understand how you foresee this price dynamic for the coming quarter and for the coming year with all of the factors I have just mentioned?
Marco Rabello: Hello, Barbara, good morning. It's good that you know so much about the sector. We meet at events and you follow up on what is happening. You have helped us to answer some questions impacting the market in steel. I have read some reports that have mentioned that there are strong signs across the board. I prefer to focus on that. In 2024, the apparent consumption stood at 9% to 10%. CSN sales grew 11%. What we had to do was done our costs. Although we see that the cost increased 4%, more important than that is that the slab costs dropped 5%. So this enables us to look at the fourth quarter and other quarters with better margins. Regarding the production volume of slabs, another important data, we went from 880 to a million tons practically, which had not happened for some time. In terms of price, Barbara, we implemented an increase. What happened was that we captured the increase, but the mix was not favorable. If we eliminate mix, the increase would be 3.5% to 4% in the third quarter. Let's go back to the steel outlook and talk about the fourth quarter. The outlook is very positive. This year, we were close to historical records in the terms of flat steel in Brazil. In 2025, this scenario will also materialize our sales. Our firm going forward for the fourth quarter, we're negotiating contracts for the coming year. And generally in terms of operational excellence, the slab costs will drop and go to levels of R$3,000 per ton, which is our end goal. Now, if we mix that cost with the price and with the enhancement of our mix, I'm not speaking about price increases. To give you an idea, what we have pre-painted in Brazil are two CSNs and we have Arcelor and CSN also fighting against imports. Import penetration has grown. It should end the year at 3.5 million tons and will continue very strong at 23%. This is a variable we have to work with. We were successful in tin plates. We have a provisional anti-dumping policy. And when they check China, this will be made permanent. We have to work on other products. It's not a matter of protectionism. We have to have full isonomy. Now, in terms of operational excellence, this is positive consolidated with what we presented in the third quarter. We have no control of happens with prices. And to corroborate with Benjamin said, we have a more positive vision of China. We speak about civil construction, but industry, the white line and automotive industry are doing better. Another important point, there's employability. Everything will be done to reach a reasonable level to resume their economy. The election of Trump in the United States will certainly change that price dynamic. Our outlook for the coming year is that the price curve of 430, 420 for China, perhaps this is the floor for the business is now at 490, 500 with a very low premium, 6% to 8%. Because of some sanctions that were put in place, now to give you more color of what we have ahead of us, the color is blue, positive. All of the pillars are working in favor of what we saw in 2023, 2024, maintenance, operational cost. We're beyond that phase and we can now capture more value and increase our EBITDA share for the company.
Barbara Soares: Thank you, that was very clear. Thank you, Marco.
Operator: Our next question is from Gabriel. Oh, I'm sorry, Ricardo Monegaglia from Safra. Your microphone has been unmuted.
Ricardo Monegaglia: Good morning, everybody. Thanks for taking our questions. We have two. If we could go back to the issue of leverage, Marco spoke about 2.5 times until the end of the year for leverage. If you could put this in context, all of the parts that make up this account at the end of the year, are you acquiring to obtain more cement? Will you be receiving money? Perhaps you will find a partner for energy. This is another fact that could help to help you if there will be another relevant prepayment. So which are the steps to get to that leverage goal? And if this is still the case, of course, my second question here refers to investments. And there will be investments in steel for an increase of operational efficiency. The investments are higher than those in mining. Think about that investment going forward for steel specifically. And if there's a relevant delivery in the short term, we know that there's a long period for the delivery of equipment and parts. Is there an important delivery in the coming 12 months? Or do you expect that the return on investment will be distributed more gradually during the coming months? Thank you for taking my questions.
Marco Rabello: Hello, Ricardo, this is Marco. Thank you for the questions. Regarding leverage, yes, until the end of the year, we do have some levers that we're working with. As we mentioned in other calls, strategic or financial partners, this discussion is still underway. We have time to close that operation until the end of the year. Another important level that did not impact the third quarter, but will impact the fourth quarter are subsequent events, the sell of the stake of 10.7% of mining that has already been disclosed. It is more than BRL4 billion that entered the company yesterday, and they will be part of our figures and leverage for the fourth quarter of 2024. The operational evolution we had in the second quarter and in the third quarter, we're celebrating all these records in the three main segments, steel, mining, and cement. We will continue with this evolution in the fourth quarter to enhance operational results and leverage, but seasonality of the fourth quarter that does not allow the best operation for mining and cement will have an impact. However, we still have the expectation of having average prices for iron ore, how they will behave until the end of the year, $89. They went up to 110. They're now at $100. We'll see how the month and a half until the end of the year will behave along with the price of steel. This doesn't help us in leverage another event, which is the exchange rate at the end of the first quarter. The dollar was 4.99. We have hit BRL6. We expect that until the end of the year, the level will drop and this will help us to define our leverage for the end of the year. 2.5 times is our guidance, as you know, we mentioned this a few months ago. The challenge -- it is challenging because of all the factors we have mentioned here up to this moment when it comes to investments and the steel plant investments will continue this year in the coming year towards streamlining of our steel mill. We have another level of investment that will be made when we turn on the Coke battery, but that will be at the end of our engineering study so that we can bring it down here. We still don't have amounts that we could mention here, but it will be discussed at our CSN Day on December 11th.
Ricardo Monegaglia: Thank you, Marco.
Operator: Our next question comes from Gabriel Simões from Goldman Sachs. Your microphone has been unmuted.
Gabriel Simões: Thank you for your time, for taking my questions. The first is a follow-up on the question of leverage. We see that different leverage you're working with to decrease the company leverage. There's a sale of CMIN and the prepayment at CMIN giving you some breathing space in your financial leverage. Are you monitoring the leverage number also taking into account the prepayments? And if there's a limit in the prepayments in the CMIN call, we spoke about this somewhat, but from the viewpoint of CSN, is there a limit for those prepayments because they could increase the leverage. The second question refers to the anti-dumping for tin plate. What is happening with all of those issues if you have other requests advancing in terms of anti-dumping? It's been some time since we hear something about this. And I think it's important to hear about it because of the relevance of this product in Brazil. What is it that impedes new requests considering the high level of imports that we see in the low margins in China? Thank you.
Marco Rabello: Well, thank you for the question. For the questions to answer the first part regarding the prepayments, prepayments as other tools are used in the balance of several companies. They are tools for liquidity used by companies and they are used as a routine. They have a low net effect on the company and the liquidity happens initially when the prepayment volume is higher, it has not been taken into account in our leverage indicator, not in the covenant that we publish, but it is accompanied by rating agencies who work with reports for CSN periodically. I believe that was your question. We look at the volume and the capacity available in mining at each period to carry out the payment within a very responsible, comfortable range for mining. Now, Gabriel to answer about anti-dumping, I'll speak about the scenario of what is happening as Barbara mentioned and as I reinforce the measures that the government has put in place, the quotas for 10 or 11 and the ends are in the right there direction with a very timid intensity nonetheless. With this measure, we practically accepted what was imported in 2023 and allowed for an increase in imports. The direction the government is following is correct, and the government is very sensitive, especially, the Vice President and the Minister of Industry and Trade. We have spoken about the competitiveness agenda in the country and they're more attentive along with the advisors about this issue. Now the positive side and this was a victory for the sector, not a victory only for CSN. We were able to implement three items for tin plate. The anti-dumping is temporary or provisional. It varies from $250 to $320 per ton for China. Without a doubt, this amount would be sufficient today to protect. It's not the wall that we expect, but it already protects our market against un-loyal import, the import of low quality material. And it is a performance control. What we're doing with tin plate now is that there was an in local verification in Brazil. The government deferred this and has implemented it. Now technicians have to go to China to verify what is happening in Chinese plants. When this process is carried out in local, in the plant that is causing dumping in the country, these figures will increase. So the trend is that this anti-dumping will increase. It has an advantage. It follows the rules of the World Trade Organization. It has a political influence and it is a remedy. It can extend for five years. It's not a short term effect. Now regarding the other products and making it very clear that there is a new line of approval on the part of the government. The government deals with 60 anti-dumping suits per year and they're able to resolve 15 or 20 at the utmost. Vice President, Alckmin has spoken about repatriating people for this process that is disseminated throughout Brazil. In pre-painted products, the government has already carried out the in-local verification at CSN in the coming two or three months. They will be assessing which will be the anti-dumping margin for that sector higher than for tin plate. What we have coming into Brazil are two entire lines of CSN pre-painted products are underway. We're speaking with government technicians at CSN this week for cold rolled products. In a few months, we will work with the galvanized product. Now, if the government speeds up, if they focus on this, Brazil will be more protected industrially until May, June of 2025. All of the anti-dumping policies should be in place. In the world of decarbonization, globalization, we don't have competitive isonomy. We're betting all of our chips on this technical part, the use of anti-dumping for products, for galvanized products for CSN. And because of this, I have to fight against all of these imports. I cannot allow them to increase the levels that we see today that are absurd. Do forgive me, I have extended myself a bit, but I gave you a notion of what is happening in all other products.
Gabriel Simões: Thank you, thank you very much.
Operator: The next question comes from Pamela Bordes from Bradesco BBI. Your microphone has been unmuted.
Pamela Bordes: Good afternoon. We have two questions here. The first for cement, the segment has shown sound performance, volumes reeking margin records above 20% above the sector, which is the expectation for the segment and for '25 and 2026. If you could also speak about the maintenance CapEx for cement, the second quick follow up in terms of the steel plant, you said that the volume is doing well with an outlook for improvement. Do you believe that the margin in the fourth quarter could reach a double digit or will it increase more gradually? Thank you.
Luis Martinez: Barbara, this is Martinez. Well, cement is a strange gem at CSN. It accounts for 10% of revenues and 15% of EBITDA. Some years ago, nobody would have imagined that it's a reason of pride for the group, for all people and for the team. Now, without a doubt, CMIN, and I can say this very proudly, we have the highest EBITDA margin. It is not 20% in truth, we have 28% for two consecutive quarters working to improve this. We had a record in the quarter and for the year. What is important, and I will give the floor to Edvaldo. We have a virtuous process of consolidation with Lafarge Holcim. We attempted to get the very best of Lafarge. We added our management characteristics, commercial, aggressively selling more, increasing the customer base, increasing the number of channels. This has been a successful strategy and it appears in the figures. We have the highest margin in the sector. Another important point mentioned by Benjamin is the idea of having new products. We're expanding our base. We have the agricultural line, an aggressive growth in added value products. We will have a sounder base and to facilitate all of this, a very positive vision of Brazil. The market is here despite everything, cement will grow 4.3, CSN will grow between 7% to 9% consolidating what we are seeing. For 2025, the scenario is highly optimistic based on facts and data. Civil construction will grow 3.5%. New business -- new buildings are being launched constantly. Funding has increased 20%, infrastructure in the government side we have 1.7 trillion scheduled for infrastructure and popular housing. Look at what is happening with MRB and other builders from the outlook viewpoint for 2025, we will evermore consolidate our strategy, capture all of the upsides commercially. Eduardo will speak about the operational part and our link with civil construction is umbilical. We work with slabs, cement, rods. So we want to become a one-stop shop and we want to make the most of that to crown our share in the market. In the last four months. We inaugurated 27 stores in the Forzato [ph] network, 100% CSN. Until March, we will have two or three of our own stores additionally. So this is our commercial strategy. I will give the floor to Eduardo to speak about the commercial part and synergy that we have with plants and the logistic part.
Edvaldo Rabelo: Well, Martinez, I think has fully covered the strategy of cement to compliment this. I reinforce that for the year, we had a growth of 37% of EBITDA in an environment of more difficult prices. And all of this, thanks to the enhancement in the sales process, fragmentation of the sales, the synergies with Lafarge Holcim, and the synergies that have already been mentioned, they will be annualized through time and through the coming months. All of the synergies were above what we expected and we're now annualizing them. We do have a competitive differential, Benjamin mentioned this at the beginning, more streamlined plants that the rest of the industry, their capacity canyons intrude with a good production scale, low consumption of electric and thermal energy, which means that we have a differentiated cash cost compared to the industry. We don't stop working. Of course, this year, we have reduced the cost by almost 15% vis-à-vis 2023. Our homework is eternal, continuous. In the field of new products, at the beginning of the year, we entered a new segment, agricultural lime. We're already marketing this from the plant at Arcos. We have three additional projects in the pipeline that will be implemented as soon as possible. We're waiting for the maturity of these projects to become a relevant player in the lime segment. This is a complimentary business for cement with a good EBITDA margin. Martinez already spoke about the aggregates. We have a base of aggregates, small one, but highly competitive for the furnace in Sao Paulo. And we're working to eliminate the bottleneck of the plants, increase capacity, and we could have a growth through M&A as well, if it makes sense for the company. So the outlook is very positive in cement, and we have done our homework. And if the country continues to grow, this will reflect on a growth of demand for cement. Pamela, regarding your last question about margin, it is important to mention that our strategy is highly robust. We will continue to work on horizontal integration, vertical integration of our long-term projects with customers, with users, with partnerships on the pillar of operational excellence. I think the situation is that given we were consistently reducing the cost of slab, that will of course lead to more sustainable and higher EBITDA levels. Now the cost issue is very important. We can't imagine anything in the steel market if it doesn't have operational excellence. When it comes to production, finally, I will be able to work with my ideal mix. We should be able to enhance the mix of voted products. We had problems in the last two quarters. I did not add value because of our mix. This will change. The focus is in the domestic market. There is nowhere to export this. We're going to focus on value, added value fragmentation and something that I always remark, CSN will privilege not stop markets necessarily, but not putting all of our eggs in the same basket. We still work with three to six months contracts that give us flexibility in terms of negotiations. We're not tied to a possible increase in iron ore or other products. What is uncomfortable of course is the import issue, a variable that is not under control, but we have taken the right measures and the government is now awake and will help us in that sector. Finally, the price issue. If you look around and see what is happening in China in terms of price, the valuation of hot rolled real with the election of Trump in the USA, the market will be more of a buyer will increase price. In Brazil, perhaps in the third quarter of the coming year, we will be able to see a price recovery because the premiums are very low and with the government measures, low premium and high cost, we will go back to margins at historical levels of 15% to 25%.
Pamela Bordes: That was wonderful. Thank you.
Operator: The next question is from Nicholas from Jeffries. Your microphone has been unmuted.
Unidentified Analyst: Yes, thank you for the call. Nicholas, thank you for the question. We're going to answer in Portuguese as you have translation into English. Yes, your account on the effect of the entrance of the sale of the stake into CSN is correct. Now, the EBITDA has to be compared for the last 12 months and the fourth quarter of 2024 compared with the fourth quarter of 2023. And it depends on the other variables. We mentioned the growth of iron ore and exchange rate until the end of the year. The goal of the sale of the stake was to focus on the leveraging and bring the EBITDA ratio closer to our guidance. Although it is challenging to get to 2.5 times, as I already mentioned, from the total volume of prepaids open, we have 10 million tons from a total of more than 40 million tons per year, which is the volume of sales of mining, a comfortable volume. As part of the company's strategy in the last quarter, we worked with $750 million of prepayments for exports. This is a decision of mining, when to do it, how to do it. It depends on market conditions. And the company offers that have worked with prepayment for some time with mining already.
Operator: Our next question is in writing from Joaquin Santa Maria from Picton. And we also have the question of [indiscernible].They say, hello, everybody. Thank you for the presentation. What can you mention about the assets of intercement? Is the company interested in acquiring those assets?
Marco Rabello: As we disclosed on a material fact, some weeks ago, nowadays, we do have an exclusivity contract signed with the company and with the intercement shareholder. It was extended with the last term extension that we also presented. And the term will end at the end of this week on November 16th. We continue to be engaged in the discussion with the stakeholders of this process because of a process of this dimension. And because of the characteristics of the company, the process is more complex. We have creditors, shareholders, the company itself involved. So the negotiations are taking significant time until we get to a satisfactory conclusion of this transaction for all parties involved.
Operator: The next question is from [indiscernible]. He says, which is the percentage of steel volume sold in Brazil? Is it covered by the anti-dumping measures approved so far?
Marco Rabello: No, we have a very low percentage that is covered by anti-dumping measures. The measures adopted by the government were insufficient. They legitimated what was imported in 2023. There were very steep volumes. The measure that CSN was able to approve for tin plate, a technical anti-dumping measure will be applied to other products. And this will depend on the speed of the team of the ministry. This is what we did. We convinced the industry, the stakeholder, the ministry of industry and trade, and we will push so that this happens quickly. We have the worst import penetration ever seen before in Brazil.
Operator: The next question is from Gabriel [indiscernible] Asset, which is the outlook for production cost dollar per ton of iron ore.
Marco Rabello: As we saw this quarter, there was a very positive effect, $19.2 per ton. The long-term guidance fluctuates between $21 to $23 per ton because of the recent impacts cost control. Mining should be closer to $21 for the long-term, which is the lower part of the guidance.
Operator: [Operator Instructions]. As we have no further questions, we will return the floor to Mr. Marco Rabello, the CFO for the closing remarks.
Marco Rabello: Thank you all for another earnings result call. This was a call with several historical records and several companies of the group. I would like to congratulate all of the CSN areas for their results in the third quarter 2024. Thus we conclude our earnings call and wish all of you a very good week. Thank you very much.
Operator: The earnings result for CSN ends here. Have a very good day.